Ann-Sofie Nordh: Greetings to all and welcome to the presentation of ABB's First Quarter Results. Most of you know me by now, I am Ann-Sofie Nordh, Head of Investor Relations. And next to me here I have our CEO, Bjorn Rosengren; and our CFO, Timo Ihamuotila. Like always they will take you through the presentation after which we open up for Q&As. But before we begin, I would like to draw your attention to the information regarding Safe Harbor notices and our use of non-GAAP measures on Slide 2 of the ABB presentation. This conference call will include forward-looking statements and these statements are based on the company's current expectations as certain assumptions and are therefore subject to certain risks and uncertainties. And with that, I will hand you over to Bjorn and Timo to take you through our results.
Bjorn Rosengren: Thank you, Ansi [ph]. And a warm welcome from me as well. I want to start off with a few highlights from the quarter. First, I was really good to see the customers remain very active. Our orders reach $9.4 billion, the highest quarterly level in recent years. These strong orders, and the top-line somewhat hampered by component shortages resulted in a book-to-bill of 1.35. And it was actually our fifth consecutive quarter with a positive book-to-bill. The margin of 14.3% was good. Admittedly, it was supported by low corporate cost. But looking at operations, we had three business areas which performed well. Then we had underperformance in robot and discrete automation. But I expect this to improve from here on, that is of course, assuming external challenges do not escalate. These are uncertain times with many moving factors. Inflation is at levels that we have not seen in many years. The terrible war in Ukraine is weighing on all of our minds. We have a global imbalances in the supply chain, and now also the whole comprehensive COVID lockdowns in China. These are challenges our businesses must deal with on a daily basis. On the whole, we have managed well so far. Then I want to mention that we have formed a new division in Electrification. We have separated the service business to his own division to improve transparency and accountability to drive both growth and profitability. This was initiated by Tarak and Morten will now follow through as he looks over the business area leadership as from this month. On that topic, I am pleased to see that both Tarak and Morten have come off to a running start in their new roles. And I look forward to them both driving performance to the next level. Lastly, I'm pleased about the new buyback program. This was launched on the 1st of April and covers up to $3 billion. This means that we go beyond the promise to return at least $1.2 billion of the power grids proceeds. Now let's look at orders and revenues in more details on Slide 4. As mentioned, orders intake reached a record high level it was driven by strong development across most of our customer segments and all regions. And we saw a strong double-digit growth in the short cycle, the process industry related business as well as in service. We saw no real difference in the underlying market patterns toward the end of the quarter compared within the beginning. It was a strong throughout the whole period. Revenues improved at a good pace of 7% driven by positive volume growth, as well as good pricing execution. All business areas reported positive comparable revenue growth of between 99% to 11% except for robotic and discrete automation, which is where the supply shortages of semiconductors was the most notable. Timo will talk more about that later in the business area comments. Now let's take a quick look at the different regions on Slide 5. Again, we saw strong double-digit growth in all three regions. In the Americas there in important U.S. market increased by 46%, supported by all business areas. In Europe, most of the top 10 markets showed strong growth rates. That said, on the slide, you see that Germany improved by only 4%. This includes de-booking in Process Automation. Outside of that the underlying orders were very strong. The AMEA region improved overall by 24%. It was good to see continued strength in China, which improved by 26% supported by all business areas. Let's turn to Slide 6, and the earnings outcome. Our gross margin was 32.7% in the quarter, which is a slight decline of 20 basis points from last year. This is primarily due to the divestment of the high margin Dodge business, but also due to a drop in Robotics & Discrete Automation. Cost inflation was broad challenge in the quarter with the biggest headwind in raw materials. But we managed to successfully offset this through price management and impact from high volumes. In total, we saw a slight improvement of 10 to 20 basis points to the margin when adjusting for the lower than expected corporate costs and divestment of Dodge. Overall, Q1 was solid start of the year. And with that, I hand over to Timo to take us through the numbers in more details.
Timo Ihamuotila: Thank you, Bjorn. And greetings to everyone also from my side. You heard Bjorn talking about a generally strong demand across the board. And as we go through the different business areas, this will be clearly evident. But let's start by looking at Electrification. Here, we still saw a very strong demand driving orders to clearly above $4 billion with a comparable growth rate of 29%. With strength spread across all customer segments, we actually saw double-digit order growth in all of the divisions, including the newly formed service unit. Orders in both Europe and Americas improved at a steep double-digit rate. And it was good to see that growth rates also turned back into positive territory in China at plus 9%. Revenues in Electrification were beat back and loaded during the quarter. And the comparable growth of 10% was yet again supported by a strong pricing execution. Volumes also contributed, but were somewhat impacted by supply chain disruptions. And this mostly relates to the largest division distribution solutions due to its large system sales. I hope to see a progressive easing of the component constraints. Overall, it was yet another quarter with a book-to-bill ratio above one and the backlog increased to a record high $6.5 billion. I'm sure you remember that in Q1 last year, Electrification took prompt actions on pricing in order to set off the oncoming headwind from higher raw material prices, while still enjoying the benefits of low input costs due to hedges versus this stuff comparable from last year. The operational EBITDA margin declined 80 basis points to 15.4%, mainly due to subdued performance in distribution solutions business, while the team has continued to do a great job on tightly managing their price lists. Looking ahead into the second quarter, we expect similar growth rate as in Q1 and somewhat of a sequential margin improvement. Let's then move on to Motion, which also had a very high order level. This is particularly impressive when you consider the relatively low contribution from large orders and the fact that this was the first full quarter without the Dodge business. The stellar comparable order growth of 32% was supported by high customer activity in all segments across all regions. Like in previous quarters, it is probably fair to assume some positive impact from customers preordering in the current inflationary environment. That said we have not seen order cancellations. Neither did we see any slowdown in the strong customer activity towards the end of the quarter, nor in the early days of April. Comparable revenues improved by 9%, supported by both volumes and strong pricing execution, the semiconductor shortages started to ease somewhat sequentially, not least due to the implemented product redesigns, and the validation of alternative suppliers. Job really well done by the Motions team. The margin in Motion a highlight of the quarter increased by 30 basis points from last year to 17.4%. This means that on higher volumes and strong pricing activities, we more than offset the missing 90 basis points, which the Dodge business contributed to the same period last year, as well as cost inflation from raw materials and freight. For the second quarter, we expect comparable revenues to grow at least at a similar rate, as in Q1, and margin to remain broadly stable with Q1. We now turn to Slide 9 and Process Automation, where we continue to see strong demand across most of the customer segments, particularly in marine as well as mining and metals. As a result, base orders continue to grow at a double-digit rate, while the total order growth rates 6%, weighted upon by the de-booking of approximately $190 million. Higher than expected deliveries towards the end of the quarter resulted in comparable revenue growth of 11% for Process Automation. Overall, the impact of semiconductor shortages was still somewhat less than anticipated. But we continue to expect these headwinds to increase as the year progresses. And PI team continues of course to work hard to mitigate this risk. The operational EBITA margin of PI was 13%, up 200 basis points from last year. The result benefited from the positive volume development and the result of efficiency measures implemented earlier. I'm really pleased to see the progress of the business area underlined by the fact that all five divisions are in double-digit margin territory. Peter and the team will give more color on how they are driving towards higher structured performance at their Capital Markets Day in May. In Q2 for PI we expect a mid to high single-digit growth rate for comparable revenues and a similar operational EBITA margin as in Q1. On Slide 10, we turn to Robotics & Discrete Automation. The business area that is still hardest hit by the shortages in semiconductors. The demand environment continues to be very strong for RA and orders were up 60% on a comparable basis, driven by high customer activity in both divisions. In Robotics, both the auto segment particularly driven by EV investment in China, as well as the non-auto segments continue to be strong. At the same time, revenue generation continues to be adversely impacted by delayed customer deliveries caused by the semiconductor shortages. On a sequential basis, the supply situation deteriorated somewhat. These in combination with the high orders resulted in another increase in the order backlog to $2.5 billion. Although the supply chain should remain strained, we expect the first quarter to be the low point for Robotics & Discrete Automation, assuming we do not see further deterioration of the China lockdown situation. Overall, the decline in volumes triggered under absorption of fixed cost in RA. Adding to that the impacts from inflation of input costs and freight, the positive contribution from cost and price measurement measures were more than offset and in total, the operational EBITA margin declined by 570 basis points to 6.7%. Looking into Q2, we anticipate some effects on RA's operation operations from the COVID related lockdowns in the Shanghai area. We expect the comparable revenue growth to remain negative, but the operational EBITA margin to sequentially improve. And then moving on to Slide 11 showing the group revenues and operational EBITA bridge. The year-on-year improvement mainly reflects the low corporate costs in the quarter earlier mentioned by Bjorn. That said, when looking at the operations, I'm pleased to say that we successfully managed to offset cost inflation through the improved impact from higher volumes. Strong outcoming pricing and earlier implemented cost actions. The reduction of losses incurred in non-core businesses help margins by about 30 basis points, while acquisitions and divestments were 30 basis points diluting on a group level, mainly due to the negative impact from the Dodge divestment. On Slide 12, we move to the usual cast picture. And while cashflow tends to be seasonally softer in the first quarter, the negative $564 million from operating activities was a bit weaker than we had anticipated. We had a higher than expected buildup of inventories to support a significant increase in order backlog. We see both our inventories as well as receivables being of good quality. Q1 cashflow also reflects a higher payout of employee incentives due to the strong financial performance in 2021, where Delta to the COVID year 2020 is particularly large, as well as approximately $170 million of cash paid for income taxes related to the E-Mobility and Turbocharging separations. I'm sure, you remember from our Capital Markets Day that we still have expected impacts from two large legacy projects in non-core. And during the second quarter, we expect to complete the full exit of one of our two main exposures left in our non-core business. This is likely to trigger a non-operational charge of approximately $200 million in restructuring related expenses, primarily relating to contract settlements. Hence, there would also be a corresponding cashflow impact when paid. This is still not absolutely certain, but I wanted to call it out, so that if it happens, it doesn't come as a surprise. As Bjorn also said, we are still confident that we will achieve solid cash flow for the full-year. And before I hand over to Bjorn, let me just update you on our active portfolio management actions. Regarding our planned listing of e-mobility, we continue to aim for completion during the second quarter, assuming constructive market conditions, i.e. no change in the timeline. On the other hand, we have this idea that we will not rush to make the final decision between a spin off or a sale of turbocharging or Accelleron as it is now called. We still lean towards spin off and listing on the Swiss exchange. But now, we are looking to make the final decision before the end of Q2 has also Bjorn mentioned at the AGM. So overall, despite the uncertain market environment, ABB is moving to the right direction. We are growing in the right businesses in line with our stability, profitability and growth strategy and continued improvement in our backlog gross margin is testament to ABB also improving long-term quality of revenues. And on that note, I would like to hand back to you Bjorn.
Bjorn Rosengren: Thank you, Timo. And I will end with some comments on the sustainability on Slide 14, before I finish up with the Q2 outlook. We published our sustainability report in March. And I'm pleased with the progress we made towards our long-term targets. The largest potential impact on climate change is through our products that we sell every day. We estimate that our products sold last year supported our customers to reduce their Greenhouse gas emissions by 11.5 megatons after the first year, which is a good start towards the target of at least 100 megaton reduction by 2030. It is not on this slide, but I also want to mention that we reduced our own CO2 emissions by 39% compared to the 2019 baseline. A clear step towards ambition of carbon neutrality in 2030. We also made progress in the gender diversity with share of women in senior management position increasing by about three percentage points to 16.3%. Finally, on this slide, I just want to mention that going forward, we will have a 20% weight of our ESG metrics in our long-term incentive plan. This is in addition to the metrics we already had incorporated in our short-term incentives. In my view, this signals just how embedded sustainability is in our operation. And it's part of everything we do. At lastly, on Slide 15, we take a quick look at our expectations for Q2. We foresee the current high level of underlying market activity to remain strong and support our order intake. For revenues, I just noted that it tends to be seasonally stronger in the Q2 compared with the Q1. I expect that to be this case also this year. In this environment, we expect the margin to improve slightly quarter-on-quarter. This of course assumes that we do not see a significant escalation of lockdowns in China. And with that, I let Ansi take over to guide us through the Q&A.
A - Ann-Sofie Nordh: Thank you. And with that said, let's now open up for Q&A. [Operator Instructions]. To secure the sound quality. I just want to remind you that please mute the webcast as your line is open for questions. And for those of you who want to put through your questions through using the online tool in the webcast, there should be a field in the bottom right corner of the screen where you can type your question. And I will put the question through from here then. And I can see that we already have a line of people who want to put questions through. So I kindly ask you to limit yourself to two questions. And with that said, we kick it off with Alex from Bank of America Merrill Lynch. Are you on the line Alex?
Alex Virgo: Thanks, Ansi. Morning Bjorn, and morning, Timo. Thanks for taking the questions. So I wondered if you could talk about in the first instance to the dynamics in China, obviously lockdown, is going to affect everything. You talked about it specifically for RA. But I guess if you could give us a little bit more color around the end markets and the divisions, that would be helpful. And I -- in particular, would like to hear about EL exposure and the residential construction market too. And then in follow-up, I wonder if you could just talk a little bit to this de-booking of an order in process. What is that? Well, what happened there? Why, and if you could just explain what the difference between that and cancellation is? That would be really helpful. Thank you.
Bjorn Rosengren: Okay, maybe I'll start with the de-booking. So we'll take that one. Yes, that is another word for a company going bankrupts put it that way. So it's a shipyard, that went bankrupt, and we had to revert an order of $190 million. And if no financial impact actually, on our profit from that one. Let's talk a little bit about China. First, China had a very strong order intake, it's just saw 26% up during the quarter, which is exaggerated a little bit from the robotics. So robotic had a very, very strong orders in China. A lot coming also from automotive e-mobility actually in China, where we taking some really great orders. If you look at China from ABB perspective, we have three production hubs, I would say. One is Shanghai, which is mostly related to the robotic side, then we have Xiamen, where it's more Motion and Electrification, and then we also had Beijing. What other happened now is the shutdown in Shanghai, which of course affected our robot factory, there which has been closed for three weeks. We expect it to start opening up on Monday, that's the signals, but of course, it's an zero vision in China, which means that any kind of COVID breakout in your factory would of course, immediately shutdown the factory. So it's a little bit uncertain therefore. This is of course taken in consideration when we looked at our outlook for Q2 as that has been part of it. And when we look at the different businesses, yes, it's correct that Electrification was the business, which is more or less flat compared to last year, while the other businesses showed good growth. And I'm sure that is coming from certain from the residential part. We also, just to say we've seen also orders develop very well also during the second quarter during the first two weeks. But that we'll come back to later. China is -- it's a big market for us, we have 60,000 people, it's about 60% of our turnover. So it's quite big for us. And so far, it's now getting a little bit better in Shanghai. But of course, if there will be shutdowns in any of other regions that will have impact during Q2. I think that's it. I think that's about it.
Ann-Sofie Nordh: That's very good. And then we'll take a question from the chat line here. And we have one from Sebastian at RBC. It says, perhaps this is same for you, Timo. How can corporate costs be lower than expected? And what cost position did surprise?
Timo Ihamuotila: Yes, that's of course a good question. Because we gave an $80 million estimate on corporate cost and came in at $32 million. There were two things that happened a lot to part of the quarter, which we simply didn't know that were going to happen in Q1. And we have always said that this corporate cost line can be lumpy. So first of all, we had a real estate game, which we didn't know that it was going to execute did exactly at this point in time. And then we also had a provision release in non-core in one of these areas. And that also impacted those two were approximately 40 million Delta. And then we had kind of like real cost decrease in corporate cost, maybe in the area of 5 million to 10 million. So that's the reason why, why we didn't see this coming going into the quarter fully.
Ann-Sofie Nordh: Great, thank you. And with that, we'll take the next question from the conference call. And do we have Daniela Costa from Goldman Sachs on the line.
Daniela Costa: Hi, good morning. Thanks for taking my question. I wanted to ask on the free cash flow and on the guidance there that you're still going to have a solid number this year. But it sounds like in the first half also because of these exceptional 200 million will be quite weak. So do you still see that how possibly up year-on-year like your guidance for the P&L implies? Or would we see this year a bit weaker than normal cash conversion overall? If you could give some comment on that. Actually following-up on that still staying on cash on the working capital point. Do you still have to do further restocking this year? Or are you seeing now working capital levels are where you would like them to be? That's my first if I can ask the second one. I'll go after.
Bjorn Rosengren: Okay. Thanks, Daniela. So when you go all the way to free cash flow, you are correct to point out that we have couple of headwinds which were not there '21. And so if we just assume all other things equal in a similar drop through, we could also see a little bit lower free cash flow than '21. But we expect to have strong cash flow delivery. And if you would take this what you mentioned, possible $200 million impact Q2 out and correct for the bonuses, it should be a very, very strong cash here as we see it. And then if we look at networking capital, we should now start to see move to the other direction. And I'm saying that simply, because we still had a very low comparable order growth, Q1. We had 1% and then we grew 28%. As you saw now for Q2, the comparable is 24%. And then we have more than 20% order growth comparables for the rest of the year. So in that sense, the book-to-bill should start to move now against let's say closer to one, which of course would be a more normal type of situation. So that should then lead to us releasing networking capital. Of course, this again assumes that nothing extraordinal doesn't happen on the external market like a full lockdown in China or something which would of course, then impact our deliveries.
Daniela Costa: Understood. Thank you. And just the second question was more general in terms of like what we're seeing regarding energy transition in Europe and a lot of talks regarding LNG CapEx speaking up. I know you have some exposures there, but can you remind us what they are and how significant, if we do have a big wave of LNG liquefaction and regasification CapEx. How could that flow through in terms of ABB on growth? And if that's material? Thank you.
Timo Ihamuotila: Yes. And first, I think we believe that, of course, trying to be a less depending on Russian gas. We seeing the transition towards more renewable energy sources in Europe will accelerate. So we think that will have a positive effect on us. On the LNG side, I mean, that's more related to our marine business, which is the ASTI port, where there are a number of ships being built today in Korea, where we have ASTI port on them. And they're being done and they are they have been delivered already, where those ships will end up in their undersea that will be Korea, who will be dealing with that. So we have on that port limited exposure for ASTI port going forward.
Daniela Costa: So on the regasification and liquefaction plants, sort of on land, you wouldn't get the exposure on Process Automation?
Bjorn Rosengren: Well, I mean, if those things will need DCS and automation as some of them most likely will. So I think overall, if you look at this, let's call it energy reshoring for lack of a better word, that should be a positive thing for ABB, because our exposure is more in Europe. On for example, in oil and gas area and more in the U.S., especially in the shale side. So all of those should be, I would say rather a positive.
Timo Ihamuotila: Yes, if Europe will be buying from U.S. And but of course that will take a little bit time to build up the right terminals and to be able to start the export. But surely it might drive more on the shale gas into North America.
Ann-Sofie Nordh: Okay, thank you, Daniela.
Daniela Costa: All right thank you.
Ann-Sofie Nordh: Thanks, Daniela. And we'll take another question here from the chat line. And it's from Christian at Pareto who is asking about the motivation and reasoning behind the leadership exchange in Electrification and Motion. And I guess that's for you Bjorn?
Bjorn Rosengren: Yes, I think that. Yes, I think that -- I think this was a good move. I would say, we have two good leaders, both Tarak as well as Morten. I think Tarak has been sitting in that position for quite some time. And as you know, me, I am a firm believer that you should not be too long in a position. It's important that when you lift stones, it should not be the dirt that you have put there yourself. So it is important, I think it's great to see Morten, putting his thoughts and his hands on the Electrification with some fresh eyes, I think that were good. And as he goes off Tarak with his great knowledge about acquisitions, and also implementing the non-open -- more acquisitions into the business of Motion. And that our Motion businesses is actually very much focused on profitable growth, meaning that we do expect that we will see a number of acquisitions within this business going forward. So I think Tarak can be a good support to that. I think so far, both of them have a lot of energy, and very motivated in their new positions. And we are really looking forward to see what will come out of that.
Ann-Sofie Nordh: And then we open up the line for Martin at Citi. If you're there, Martin?
Martin Wilkie: Yes, thank you. Good morning, it's Martin. So the first question I had was on the demand backdrop, when orders were strong across the board, but would Europe is still double-digit growth? And obviously, we're hearing lots of things about potential issues in whereas in Germany, Italy, or elsewhere. Given the order strength in Europe now how are you seeing your European customer base developing both what you saw in the first quarter, but also what you're expecting for the next couple of quarters? So that's my first question.
Bjorn Rosengren: I mean if you look at the orders during the quarter, we saw a strong actually in all three regions, that even though North America was the strongest one, which was over 40% and Europe we see over 20% that actually included de-booking. So it's even stronger than that. Then we saw 26% in China and over 20%. So overall, the demand is and for me really to see what is the underlying happening in the market. I think it's very interesting to look at the service market, which is a quite a big part of have us over 30% of our business. And that was up 15%, which from an aftermarket. It shows very much strength and activity in the market. So yes, it's quite overall, as you see in our different businesses, we see it strong in Robotics & Discrete Automation. But we also see very, very strong Electrification, as you saw more or less a record growth number for Electrification and also strong in Motion. Process Automation if you do revert that de-booking, it's actually 15%. So it's not bad. I mean, it's difficult to say how much of this, of course, is coming from longer lead times there is a certain amount of that, but we looked into this quarter start and the demand continues on the same high level. So it's difficult to see. But on long-term, it's for until the end of the year, it may be a little bit too far away to make, because of uncertainties in the market. But for the second quarter, I think we expect to have a robust orders.
Martin Wilkie: Thank you. And second question just on robotics. Obviously, there's a number of drivers here since it began under absorption. But if you would see sort of excise the under absorption, I mean, are you able to pass through some of the cost inflation in the orders that you are delivering. Can you look at this is effectively just a capacity, utilization drag, that will hopefully normalize as equal?
Bjorn Rosengren: Yes, I mean, first, the volumes for Robotics is down 11%, 12%, which is quite dramatic to be a bit to be honest. And they were been struggling with their semiconductor supplier. And it's a little bit tough for them, because suddenly they get the commitment from some suppliers and then in the middle of the quarter, they get the de-commitment, which means that they are standing with half built robots, which is of course driving both inventory and waiting for components. So it becomes inefficiencies in the production, then the order book is quite long, which means from order to delivery, which means that when orders were taken, many of what's being delivered out today was taken for a price, which was before the inflation started. And it can be difficult actually to negotiate up prices with customers when you already committed to certain deliveries, but they are focusing on this. And we do believe that we will have a better access to semiconductor during the second half of the year. And we also expect that the price increases will go through. So significant improvement in performance during the second part is expected from robotics.
Martin Wilkie: Great. That's very helpful. Thank you.
Ann-Sofie Nordh: Thank you. And then we have a question from the chat tool again. And it's from Will Mackey [ph]. And he wants to know about pricing. If we could please give an idea of the level of price contribution to the revenue growth for the group and little by the BA? Timo.
Timo Ihamuotila: Yes, thanks for the question. When you look at our bridge, it's actually fairly easy math this time. So we have about 300 million is from pricing and about 100 million is from volume roughly. And that means that our pricing went up from about 3% impact to about 4% impact. So I think the teams have done good job on that area. And we were actually this time able to more than offset the material, the raw material cost with pricing. And then we of course had some other increases like in freight and all that. But it was a -- of course an important contribution on us being up this 10, 20 basis points on comparable margin when you take out the corporate impact, and also correct for Dodge, as we also said earlier today.
Ann-Sofie Nordh: Okay. And then we'll take a question from the conference call and it comes from Andreas Willi at JPMorgan.
Andreas Willi: Yes, good morning, everybody. Thanks for the time. My first question is a bit of a follow-up on the earlier question on Europe. If you look at your exposure to energy intensive industries in Europe, chemical fertilizers, some of these downstream businesses. What do you expect here to happen between customers having to invest more in energy efficiency? As a positive on one side, you've got potential risks from them just not being competitive and stop producing at all, particularly, if we get any gas rationing or something like that later in the year. How do you assess this in terms of upsides and downsides for particularly your process business, but also other businesses that sell into these customers whose competitiveness is maybe impaired for quite some time, maybe Europe has higher energy costs?
Timo Ihamuotila: Yes, I think you're relating a lot to PA at the moment. And there's two parts of PA, PA 50% of the PA revenues is actually service and spare parts today. And that is of course, reflecting the activity out in these businesses. And it's a good profitable part of the business and normal, quite agile from ups and down. And we seeing here strong growth today of about 15%. It shows that I mean a lot of the process industries are going. When we look at the process industries, the different divisions, of course, it varies a lot. But in these transition towards newer energy types, we are of course, very active. And we are supporting many of the company both in becoming more energy efficient, but also in transition from oil and gas to renewables. So we are very active in many of these projects, not least in the Nordic part, in green steel, it's in battery manufacturing renew. There's a lot of these companies that are really driving the transformation there and ABB has an active part. The other part which is important for us, we are looking at every project and we have said that we are not prepared to take businesses with low margins. So we are looking at the quality of the businesses that we are going in, but we have strong customer relation and they really value our offerings and the value that we can help these customers with. And that has really helped us to drive up the margin in our order book. And we are quite excited actually about what is taking place in the PA. And we're having the Capital Markets Day very soon in May for PA. So if you have a chance to look in and participate, that will give you some exciting part of the business and why we believe in this business going forward.
Andreas Willi: Thank you. And the second question is just a clarification around the guidance. Obviously, you spoke about potential further impact from China in terms of COVID restrictions, which are not included in that sense. Is this basically just lockdowns beyond what we have already seen now in April? So everything that we have seen in April is part of that when we look at your comments going forward which imply your mentions. Expect some easing on the supply chain from here despite the lockdowns that we're currently seeing?
Timo Ihamuotila: Thank you, Andreas. Yes, of course, we know China's zero vision, which means that a lot of things can happen. It's difficult to predict. But it, of course, includes what we have seen until today, and that is the Shanghai area. And we have three manufacturing hubs which are important, where Shanghai is one of them. And we are expecting that's how -- but we've been promising an improvement from next week where we will be opening up the factory to drive. And if we don't end up in a big outbreak, we think we believe it's going to open more and more in a couple of weeks where we go for 100% capacity again. But no one knows what's going to happen in China there. So we just want to say that if there will be a major lockdown in any of the other two big production hubs, of course, it will have an impact on the quarter. But so far, we don't know anything of them, that there is nothing today that is still tending in this direction.
Andreas Willi: And on the -- earlier in the year, you mentioned that you would expect all business areas in terms of profitability to improve this year. Is that still the case with Robotics? Or is the second half improvement too late in that sense?
Bjorn Rosengren: No, absolutely. Robotics, I've been very clear that Robotics is a 15-plus business and I'm still saying that. And if you remember last year, the first quarter when we saw the volumes are coming up and they are pushing this part, we were up already in 12.5%. So the trend was very good. And then came all the supply chain issues and the volumes were going down and they have been suffering on this. But I definitely believe that the underlying business is plus 15%. And we believe that we will see an improvement in this quarter and then definitely during the second half.
Andreas Willi: Thank you very much.
Ann-Sofie Nordh: Okay. Yes. Thanks, Andreas. And then we move to Ben at Morgan Stanley.
Ben Uglow: Good morning, everyone. Thank you for taking the question. So apologies for laboring the point, but to come back on Robotics, what I was interested to understand is if we went back two years to the Capital Markets Day in February 2020. Sami and the divisional management outlined a fairly interesting program of measures that were going to be put in place for the division. At the time, I think the division was doing a 12% margin and the goal still is 13% to 17%. Those measures were cost out. They were fixing execution issues. And then, finally, pricing. And what I was hoping for was a sort of qualitative update of where we are in those three buckets. So if you look at Robotics today and say where are we in the last two years, have we got the cost out, have we fixed all the execution? Ex supply chain effects, where are we versus two years ago?
Bjorn Rosengren: Yes. Let me talk a little bit about Robotics. First, I think that we have a good offering. I think we're adding a lot of value to our customers. And we also believe that the demand for these products is going to be strong going forward. We strong believe that automation will be one of the driving forces going forward. Also the strategy that moving away from this low-margin system business in automotive, we strongly believe and focus on some of the more profitable segments like logistics and general industry and so on. And I think that actually reflects the margin that we have in the order book. And I mean the demand, it's difficult to complain about that. I think orders were up 60%. The frustration is, of course, that you will have customers that are being delayed in deliveries. And that is, of course, cumbersome for the division. When I looks at the cost part, of course, when you -- they had the Capital Market Day, when you met them, that was before this new environment with inflation that we are living in today. So of course, that all material has gone up. And besides that, they've been buying semiconductors on the black market for prices which are totally horrendous. So yes, the costs have gone up dramatically in this part. They have also lifted prices a lot. But as I mentioned before, the order books are quite long, which means that many of the orders that we are delivering out at the moment is, of course, taken before these price increases were implemented. And difficult to renegotiate in the market today. And some of the end customers that are pretty tough from that perspective. So I'm a strong believer in Robotics. I think this is one of our really growth divisions from going forward. And I'm also a strong believer that we will reach our 15% at 2023 as we have committed to. So that is this direction. So I think they're doing a lot of good stuff in the division, but it's like a perfect storm. First, semiconductors. Then shut down in China. And then contemplate hits everything at the same time, and it is, of course, cumbersome to mitigate. But yes, it's a great business.
Timo Ihamuotila: And black market [indiscernible] secondary market.
Ben Uglow: Duly noted [indiscernible]. And just one follow-up on Robotics. That holds the execution side around switching the systems and all of that stuff or lowering the systems mix, should we say, from automotive. Is that a long way through beyond? Are we a long way through that process?
Bjorn Rosengren: I think this system business, yes, we have -- we are not taking any of those orders. So that is out. Still, of course, automotive, and especially electric vehicles, is a very growing segment at the moment. And during this quarter, we saw good orders from China, big orders on the electric vehicle side, where we actually have a pretty good market share. So there is a lot of investment being taken place, and we are part of that. So there are, of course, still automotive industries in our order book.
Ben Uglow: Understood. Thank you.
Bjorn Rosengren: Thanks.
Ben Uglow: Thank you. And then one for Timo, if I may. Just on -- just to clarify, I think it was Daniela's question around cash. Are you saying that the operating cash flow -- I think she was talking about free cash flow. But if I look at the operating cash flow, you were growing at -- or you were delivering $1 billion plus per quarter in the second half of last year. If ex the bonus effect and the $200 million restructuring charge, are we saying that you should be at or above that level going forward? Is that fair?
Bjorn Rosengren: Yes. Okay. I was -- you answered last time, so why don't you continue, Timo?
Timo Ihamuotila: Yes, thanks, Ben. So, yes, that's what we are saying. Of course, the visibility is not exactly super at the moment into that. But what is really, really important is that our inventory is of good quality. And also our receivables are of good quality. Our backlog is of good quality. Actually, our receivable, if you look at, late receivables days went actually down. So in that sense, the quality improved. So this is really driven by the backlog. And then we had a bit of an extra impact actually this quarter. I mentioned it in the remarks as well. Electrification had quite a bit of revenue fairly late in the quarter, which then sort of dropped the cash to the other side into Q2. So with all we know at the moment, your postulation is correct, i.e., we should see that kind of operating cash flow.
Ben Uglow: Understood. And final question. Within the cash flow, there is this $390 million of accrued liability. Is the vast majority of that the -- is that explained by the, let's call it, the employee incentive accrual?
Timo Ihamuotila: Yes.
Ben Uglow: Or you also mentioned the tax effect. That's not in the -- 
Timo Ihamuotila: That is not in there. No, that is actually on the upper level of the cash flow statement. And of course, the impact is now -- this delta impact is bigger than ever because, first, we had quite low performance 2020, because that was the COVID year. And I think it's a good practice for the company, we didn't change any of our targets even when the COVID came, so that's when we had quite low payout. And then we had quite high payout. So of course, the delta became even bigger between cash flows '21 to '22 Q1, Q1.
Ben Uglow: Understood. Thank you very much.
Ann-Sofie Nordh: Thanks, Ben. And then we open up the line for Mattias Holmberg at DNB. If you are there Mattias?
Mattias Holmberg: Thank you. Bjorn, you don't seem to be very concerned about cost inflation and supply chain issues in light of -- at least from my perspective, what seems to have been a worsening of the situation since you reported Q4. So I'm curious here, when you reiterate the guidance for improved margins this year towards the 15% target, if you could help us, are you, say, more or less or equally confident in this ambition compared to when you set in conjunction with Q4? And also, if you can share any details on your reasoning here would be very helpful.
Bjorn Rosengren: Yes. I mean, I'm not concerned about cost increases and inflation, that is not a correct statement because, of course, this is a situation we haven't seen in 30 years. And I've been in the business for 35 years, so it was a very long time ago, we had to deal with these issues. What I feel very confident about what we have seen here during Q1 is that the divisions have been very successful in offsetting some of these costs, increased costs, in price increases. So -- and that, of course, only possible if there is a good value in what your deliveries are. So from that perspective, I think our divisions have a very well working pricing strategy also going forward. I mean you can always be a little bit more nervous in the beginning of an inflation, are we really handling this in the right way? But we spent quite a lot of time on that. So I think we are handling this now in a good way. Is that good for the general economy? Of course, not. We don't want to be in an inflation world where maybe interest rates will go up and that might drive demand from medium to long-term. So of course, there are these kind of things that we are nervous of. But my confidence is in ABB's ability to offset higher costs.
Timo Ihamuotila: Can I make an additional comment on here?
Bjorn Rosengren: Yes, please.
Timo Ihamuotila: Because I think an important part here is also we had 7% revenue growth. We are expecting to have a, I'll call it, good revenue growth during the year as well, as we say today. And of course, we should then get also drop-through through fixed cost leverage, which also happened during Q1. So that's a little bit sort of pushing to the other direction here.
Mattias Holmberg: Thank you. Second question, just quickly. Have you seen any impact or sort of demand increase from onshoring or -- and if your customer is moving production, say from China to Europe or U.S. on the back of the issues we've seen in the past couple of months?
Bjorn Rosengren: I think just looking at our own operations, and of course we are looking to do sourcing, making sure that we also have access to raw material as a component from the region where actually the factories are operating. We had maybe historically a little bit more components coming from China in this area. And of course, that is a little bit of a risk factor. So that is, of course, changing. So I think in the same way as we are trying to offset these, other companies are also. And maybe that's also part of some of the strong orders that we are seeing at the moment.
Mattias Holmberg: Thank you so much.
Ann-Sofie Nordh: Thanks, Mattias.
Bjorn Rosengren: Thank you.
Ann-Sofie Nordh: And I think we'll have time to squeeze in one more question. And we'll see if Gael from Deutsche Bank is on the line.
Gael de-Bray: Yes, thanks very much, Ansi. Good morning everybody. I have two questions, please. The first one is actually a follow-up on Andreas earlier question. In the current context of rising energy costs, have you noted any specific accelerated demand for Electrification and growing co-additions for energy efficiency solutions in particular? That's question number one. Question number two is about the order dynamics. I get that the de-booking in Process Automation is pretty exceptional, but do you see a growing risk of order consolidations possibly spreading to the other divisions? And in particular, at RA, given the widening gap between order growth and revenue growth there. I mean, what sort of feedback do you get from clients about the delayed deliveries? Is there a risk basically that they could shift to other suppliers with better delivery times?
Bjorn Rosengren: Let's start with the one with the de-booking side. The de-booking side, of course, coming from a customer, which has actually gone bankrupt. So it's not cancellation of that. We spent quite a lot of time in our reviews to go through order books and to make sure that we have a healthy order book. And I think from our divisions and from our businesses, they have a strong belief in their order books. But, that said, that there is probably some effects coming because of longer lead times, which means that they are moving some of the orders at an earlier stage. I think that's…
Timo Ihamuotila: Can I make one more comment here, please.
Bjorn Rosengren: Yes, sure.
Timo Ihamuotila: Also contractually now in this situation with higher backlog, we are actually -- where we take new orders, we are putting cancellation fees in place in many businesses. So we are clearly managing in a way that the cancellation will, of course, become more difficult. I mean, if you look at where order book is up from last year, $4.1 billion, it's not a small number. So taking new orders, of course, the new orders have to be better quality and better certainty.
Bjorn Rosengren: So we're trying to be careful. But -- and then when you say that maybe they should not buy from someone else. But I mean, our situation is not unique. I think everyone today have the same delivery issue. So it's -- you can't even find another supplier who's prepared to give you an earlier supply today. So real good customers are being supported and that's how it goes. The future, of course is might be a little bit different, but this is the case at the moment. Yes, on the energy price increase, yes, of course, when energy price is going up and oil and gas prices, that, of course, drive investments and operations in these areas. And of course, we are, in Process Automation, also dealing with these customers which are, of course, more optimistic about the future today than maybe a year ago. So yes, we are gaining in Process Automation, both from the energy transformation towards renewables, energy efficiencies in this all our customers, but also some of the increased demand in these traditionally energy sources. So yes, I think that is probably the case.
Gael de-Bray: And do you see the same dynamic within Electrification? Or you [indiscernible] for energy efficiency?
Bjorn Rosengren: I mean you saw the Electrification growth during the quarter, which was on a record level in part. So yes, I'm sure that in this Electrification, there is a lot of this transformation towards energy efficiencies and maybe also transforming to new energy sources. One of the areas where we've seen enormously high growth, which is, of course, a very small part of ABB, that is the e-mobility where the orders are double as high as they were last year. So I mean, that's huge growth numbers. And that's the business we'll put on the stock market very soon.
Gael de-Bray: Thank you very much.
A - Ann-Sofie Nordh: Okay. Thanks, Gael. And thanks to you all for spending time with us today. And we hope you want to spend even more time with ABB as we welcome you to the Motion and PA CMDs in Helsinki on 17th or on 18th of May. We hope to see you there. And if you haven't registered already, please do so. Thank you.
A - Bjorn Rosengren: Thank you very much.
A - Timo Ihamuotila: Thank you.
A - Bjorn Rosengren: Bye.